Operator: Ladies and gentlemen, thank you for standing-by and welcome to the ArcBest Corporation Third Quarter 2014 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded today, Monday, November 3, 2014. I would now like to turn the conference over to David Humphrey, VP of Investor Relations, ArcBest Corporation. Please, go ahead.
David Humphrey: Welcome to the ArcBest Corporation Third Quarter 2014 Earnings Conference Call. We'll have a short discussion of third quarter results, and then we'll open up for question-and-answer period. Our presentation this morning will be done by Ms. Judy R. McReynolds, President and Chief Executive Officer of ArcBest Corporation, and Mr. Michael E. Newcity, Senior Vice President, Chief Financial Officer and Chief Information Officer of ArcBest Corporation. We thank you for joining us today. In order to help you better understand ArcBest Corporation and its results, some forward-looking statements could be made during this call. As we all know, forward-looking statements, by their very nature, are subject to uncertainties and risks. For a more complete discussion of factors that could affect the Company's future results, please refer to the forward-looking statements section of the Company's earnings press release and the Company's most recent SEC public filings. We will now begin with Mr. Newcity.
Michael Newcity: Thank you for joining us this morning. This quarter's results once again reflect continuing progress in our efforts to serve customers across the supply chain. During the typically busy third quarter, we saw increased business levels at ABF Freight and continued strong revenue growth in our emerging businesses. Those subsidiaries contributed 28% of total revenue during the quarter up from 27% last quarter. Here are some details. ArcBest's third quarter 2014 revenue was 711.3 million compared to 623.4 million last year, an increase of 14%. Third quarter 2014 net income was $0.72 per share compared to net income of $0.52 per share last year. Excluding an adjustment for a pension settlement charge of $0.02 per share related to our non-union defined benefit pension plan, third quarter net income was 20.1 million or $0.74 per share. We expect to incur pension settlement accounting charges in the fourth quarter as well. As a reminder, these are associated with distributions from frozen benefit plans, which result in settlement accounting charges when the lump sum distributions of the plan exceed the plan's annual interest cost. We anticipate fourth quarter charges approximating 2 million on a pre-tax basis. The amount and timing of these charges depend primarily on lump sum distributions from the plan. These charges are non-cash and are the result of accounting rules requiring the write-off of actuarial losses. This morning's reported results were also affected by the two-class method used for calculating earnings per share, which required the allocation of a portion of dividends and net income to unvested restricted shares in determining per common share amounts. For the third quarter, this equaled $0.03 per share. This could occur in future periods depending on our financial results. We ended the third quarter with unrestricted cash and short-term investments of 203 million combined with the available resources under our AR securitization agreement our total liquidity equals 260 million. Our total debt of 126 million includes the remaining 74 million, balance on our 100 million five year term loan associated with the Panther acquisition and 52 million of capital leases and notes payable, primarily on ABF Freight revenue equipment. The composite interest rate on all of our debt is 1.8%, the same as what it was at end of the second quarter. Full details of our GAAP cash flow are included in our earnings press release. For full year 2014, we expect to be at the top and of our previously stated net CapEx range of 90 million to 100 million. Over a week ago, we announced Board approval for an increase of our quarterly cash dividend to $0.06 per share from the previous $0.03 per share. And we continue to have 18.2 million available for stock purchases under a program announced back in July of 2005. ABF Freight reported third quarter revenue of 523 million, a per day increase of 10.2% compared to last year. ABF Freight’s quarterly tonnage per day increased 6.4% compared to last year’s third quarter. By month ABF Freight’s 2014 daily tonnage increased versus the same period last year was 5% in July, 7.1% in August, and 7% in September. ABF Freight’s third quarter operating ratio was 95.3% compared to 96.3% in the third quarter of 2013. ABF Freight’s third quarter 2014 total build revenue per hundredweight was $29.53, an increase of 3% versus the third quarter of last year. On a sequential basis compared to this year’s second quarter, revenue per hundredweight increased by 2.1%. ABF Freight’s total weight per shipment was 1,320 pounds, a reduction of 3.1% compared to last year’s third quarter. The decline in this total shipment measure was driven by a reduction in the average size of truckload rated shipments. The average LTL rated shipment size increased during the quarter. On a sequential basis, weight per shipment decreased 3%. ABF Freight’s average length of haul equaled 1,031 miles, a 1.4% increase over last year’s third quarter of 1,017 and 1.2% higher than this year’s second quarter figure of 1,019 miles. ABF Freight results for the month of October, 2014 versus October, 2013 are as follows; ABF Freight’s preliminary total tonnage per day increased by approximately 11%. Preliminary daily revenues for ABF Freight increased also by approximately 11% above October 2013 levels. Total revenue per hundredweight is expected to be flat compared to October 2013. October revenue per hundredweight has been impacted by year-over-year business mix changes in ABF Freight’s account base. Without these business mix changes the level of October revenue per hundredweight increase would have been in the low single-digits comparable to third quarter of 2014. As a reminder, the recent historical ABF Freight operating ratio relationship between third quarter and fourth quarter has been an average increase in the fourth quarter operating ratio over the third quarter operating ratio of 3.9 percentage points. In addition, fourth quarter of 2013 had some non-operational items that benefited that quarter’s earnings. The ABF collective bargaining agreement which was implemented November 3, 2013, provided for certain reductions in annual compensated vacation that impacted amounts expensed, but not paid in periods prior to fourth quarter of 2013. The reversal of those expenses benefited the quarter 1.4 million after tax or $0.06 per share. The quarter also had a lower tax rate from tax benefit adjustments related to deferred tax asset valuation allowances in the alternatives fuel tax credit. This tax related adjustment benefited the quarter 900,000 or $0.03 per share. On a combined basis, our emerging businesses continued to display strong revenue growth versus last year’s third quarter. The total combined revenue for these businesses in this year’s third quarter equaled 199 million, a 23% increase over last year. Total third quarter EBITDA for these businesses equaled 13 million, an increase of 35% compared to 9.7 million in last year’s third quarter. Year-to-date EBITDA for our emerging businesses was 31 million compared to 20 million during the same period of 2013. Panther continued its strong 2014 trends with third quarter revenue of 83 million, an increase of 26% over last year. Panther’s third quarter operating profit was 4.1 million compared to 3.1 million during the same period of 2013. Panther’s third quarter 2014 EBITDA was 7 million, an increase of 22% compared to EBITDA of 5.8 million during the third quarter of 2013. FleetNet, our emergency and preventive maintenance company, improved its third quarter revenue by 8% versus last year. FleetNet’s operating income was slightly below that of last year’s third quarter. ABF Logistics reported third quarter revenue of 41 million compared to 29 million last year, an increase of 42% versus 2013 their third quarter operating income increased 96%. Our Household Goods Moving Services division, ABF Moving, grew third quarter revenues by 16% and increased third quarter operating profit by 80%. As these businesses find success in meeting the logistics needs of our customers, they are an ever growing portion of ArcBest total revenues and a positive contributor to our profitability. We continue to experience the benefits of the investments we are making in these companies and they are important to our success. And now I’ll turn it over to Judy.
Judy McReynolds: Thank you, Michael and good morning everyone. We continue to work toward managing resources effectively and improving productivity at ABF Freight amid strong business growth, while making it easier for customers who want multiple services from us to have access to a single point of contact. I am particularly gratified by the strong results at our emerging businesses and the solid EBITDA contributions they continue to make. After two full years as an ArcBest company, Panther continues to expand in the markets it serves, thanks to its reputation as one of the top premium logistics providers. Our other emerging businesses are benefiting from the investments that we have made to support their growth. During the traditionally busy third quarter, the strong freight environment impacted industry capacity contributing to higher revenues and improved profitability at ABF Freight. The LTL segment of the transportation industry has benefited from additional shipments because of the service challenges in the Intermodal segment and driver shortages that have limited capacity in the Truckload segment. When comparing back to last year’s same quarter, this added business at ABF Freight combined with a lower union cost structure versus third quarter of 2013 and a positive pricing environment contributed to margin improvement. During a period of strong growth like ABG Freight has recently seen, more emphasis is placed on having the resources necessary to maintain customer service levels and continuing to offer the individualized transportation solutions for which ABF Freight is known. ABF Freight’s network is near capacity and in addition to the new employees we’ve hired throughout the year we’ve utilized more available capacity sources. These additional costs are primarily reflected in the increases reported in rents and purchase transportation line item of our income statement. Though these increased expenses allowed us to fulfill important service commitments to our customers, they impacted our profitability and the incremental margins on the additional freight that we handled. We’re actively addressing the fine balance between efficiently serving our customers and maximizing profitability through cost control and sufficient pricing. The productivity of inexperienced dock employees hired as a result of historical business growth continued to impact ABF Freight’s operational results during the third quarter. Since this year’s second quarter, actions have actively been taken to drive productivity improvements and to reduce total labor hours to match available freight levels. As a result, sequential quarterly comparisons reflect some improvements. However, ABF Freight’s productivity is still below acceptable levels. In addition to offering increased employee training and performing daily monitoring of this issue by Company management, work is successful being done to improve equipment utilization and trailer loadings, which should directly impact dock, street and yard productivity. Some additional monitoring tools have recently been implemented and we’re encouraged by the positive results that have occurred. Third quarter pricing at ABF Freight increased and positively reflected the effects of business growth during a period of tightening industry capacity. As our traditional LTL customers increased their freight levels throughout the quarter, ABF Freight handled fewer truckload related shipments in order to dedicate more system resources to LTL Freight. Though fewer truckload shipments moved through the ABF Freight network, they did so at increased rates, thus positively contributing to the improvements in total system pricing metrics. ABF Freight continues to focus on obtaining adequate price increases on new business and on renewals of existing pricing agreements. On contract and deferred pricing agreements that were negotiated during the quarter, ABF Freight obtained increases averaging 4.8%. This was the second highest level of third quarter increase on these types of accounts in the last 15 years. As demand for our services increases and more resources are required to maintain service levels, we’re focused on improving account yield in order to increase profitability. As further evidence of ABF Freight’s efforts to improve the average level of account pricing, a previously announced general rate increase of 5.4% was implemented effective today. This increase will positively affect approximately 35% of ABF Freight’s business and follows a similar GRI increase that went into effect in late March. As we normally do during fourth quarter, ABF Freight will be negotiating pricing on customer agreements that represent approximately 25% of total business. Therefore, we’re targeting approximately 60% of ABF Freight’s business to have new pricing by year-end. Once again, our emerging businesses experienced strong growth and positive margin contributions during the quarter. The continuing development of each of these companies and their positive contributions to the logistics services we’re able to offer our customers, strengthened our best brand and our reputation as an industry-leader. Third quarter success at Panther is illustrated by increasing growth and year-over-year improvement in revenue, gross profit, operating income and EBITDA. As seen in the first half of this year, there continues to be a strong market demand for premium logistics services for those shippers who require reliable consistent handling of their most challenging transportation needs, Panther is a trusted partner. Again this quarter most all of the markets that Panther services had double-digit increases in revenue and gross profit compared to the same period last year. Panther’s third quarter success was the result of business growth associated with both existing shippers, as well as new customer relationships. The greatest strength was experienced in the automotive and government markets, but in addition Panther’s manufacturing, life sciences and 3PL markets positively contributed to the quarter. Panther began experiencing significant improvement during the second half of 2013 with fourth quarter 2013 operating income nearly tripled over the previous year. Along with investments we’re marking to enhance continued growth in this business, Panther will face some more challenging fourth quarter comparison to the prior year relative to what it’s seen during the first three quarters of this year. In conclusion regarding Panther, the enthusiasm of the folks there in actively adding new business and seeking to positively respond to the unique needs of customers, it's exciting to observe and should contribute to continued success in the future. Third quarter revenue growth at FleetNet was primarily associated with an increase in business from several new customer relationships and improved pricing in their fleet maintenance market. The number of emergency roadside service events was below that of last year's third quarter due to the changes in customer mix and the continuing effect of unseasonably mild summer weather. Increased investment in personnel and IT systems needed for future business growth contributed to a modest decline in third quarter operating income compared to last year. The services that FleetNet offers helped transportation fleets manage costs and adhere to the numerous regulatory standards in the trucking industry. FleetNet continues to encounter and respond to new business opportunities from customers who are seeking help and guidance with their equipment maintenance challenges. As a result, we expect additional opportunities for future growth at FleetNet which in some cases will require further upfront sales and IT investments. As they’ve done all year, IBF Logistics experienced strong increases in total third quarter revenue that resulted from growth in each of its service lines. ABF Logistics’ truckload brokerage operations had the greatest positive impact on this quarter's results due to continued expansion of its customer base. Those additional customers contributed to double-digit increases in third quarter shipments, revenue per shipment and gross margin per shipment. We were pleased to see that the operating profit at ABF Logistics nearly doubled over last year's third quarter. The investments we’ve made in this company continue to pay positive dividends and allow us to profitably handle the rapid revenue growth they are experiencing. We plan additional investments in the fourth quarter of 2014 and in 2015 for sales and IT in this business as we pursue growth opportunities with both new and existing accounts. Versus last year's third quarter, ABF Moving better positioned itself to handle the peak summer season demand of the household goods moving market. This resulted in year-over-year revenue growth and a significant improvement in operating income. During this busy quarter of the year, which positively affected -- was positively affected by the improved housing market, ABF Moving did a good job of promoting their services in managing their costs. Earlier Michael provided details of actions we'd recently announced regarding an increase in our quarterly dividends. We believe this step to improve shareholder returns is warranted based on ArcBest's improved financial position and our positive outlook on our Company. An important element of our strategy for the future is to invest in the organic growth at our existing subsidiaries and to identify acquisition opportunities that will enhance our current businesses and allow us to expand the logistics services that we offer our customers. After increasing the dividends that benefit our shareholders, we remain in a strong financial position ready to act on internal and external investment opportunities that will strengthen our best position in the marketplace. Earlier this month, Roy Slagle retired as President and Chief Executive Officer of ABF Freight. During his 37 year career with ABF Freight, Roy positively impacted almost every area of the Company. His dedication to making ABF Freight a customer-centric company that focuses on unique logistics solutions was evident during his entire time here. His many contributions to our Company will benefit us for years to come. We thank him for his service to our company and we wish him and his wife Karen well in the next chapter of their lives. I was pleased to have the opportunity to call upon Tim Thorne to be ABF Freight's new President. Tim has a strong background in field operations and management having led various ABF facilities of all sizes, as well as serving as a Regional Vice President of Operation in ABF Freight's Pacific Northwest region. Immediately prior to becoming ABF Freight's new President, Tim was the Company's Vice President of Linehaul Operations. I have complete confidence in Tim's experience and leadership qualities; his vision for enhancing ABF Freight's reputation of superior customer service in this rapidly changing logistics environment will benefit our Company in the future. I always like to highlight the good things that are going on at our Company and there are several to talk about this quarter as our campaign to highlight the Skill & the Will of our employees garners more good feedback. Continuing its long pattern of recognition for superior industry achievement in the important area of safety, last week ABF Freight became the only seven-time winner of the American Trucking Association's President's Trophy. The President's Trophy is the transportation industry's most prestigious safety award. Winning this recognition for an unprecedented seventh time reinforces ABF Freight's reputation as a industry standard for safety. Two of ABF Freight's drivers were recently recognized as some of the best in our industry at ATA’s National Truck Driving Championships. Ralph Garcia from New Mexico won second place in the sleeper class. Lauren Hatfield won fifth place in the flat-bed class. Both Ralph and Lauren have competed in the National Driving Championships multiple times in the past. Ralph was a 2013 National Driving champion and a past winner of the trucking industry's Professional Excellence Award. Lauren is currently completing a two year term as America's Road Team Captain representing the trucking industry throughout the United States. We’re privileged to have Ralph and Lauren utilizing their superior driving skills to safely represent ABF Freight on our nation’s highways. ABF Freight received three recognitions that illustrated superior standing in the trucking industry and its commitment to sustainability. Earlier this month ABF Freight received a SmartWay Excellence Award from the Environmental Protection Agency. This award recognizes ABF Freight as an industry-leader in the freight supply chain environmental performance and energy efficiency. In recognition of several programs that has initiated as a part of its ongoing commitment to sustainability, ABF Freight earned Green Supply Chain Partner Status by Inbound Logistics magazine for the fifth consecutive year. And finally, for the second consecutive year and third time overall, ABF Freight was a recipient of a Quest for Quality Award from Logistics Management magazine this year is being honored for its expedited service offerings. ABF Freight is committed to being a dedicated and dependable partner and industry innovator for all of its customers. Panther was also recently named a Preferred Supplier for the Bosch Group for 2013-2014 time periods. A rare honor that truly underscores the value Panther provides to Bosch and all of its customers. And just a few weeks ago both ABF Freight and Panther listed as top-100 truckers by Inbound Logistics. These awards are all testimony to the amazing job our people do day in and day out to show their skill and their will to meet and exceed our customer expectations. So once again you can see that while we still have some work to do at ABF Freight in the areas of cost management, we expect to make progress. Because of the investments we’ve made and we’ll continue to make and our pursuit of excellence, we’re well positioned and growing. We make a commitment to our customers to do the very best for them by giving them more of the services they want and making it increasingly easy for them to do business with our outstanding people. And now I think we’re ready for some questions.
David Humphrey: Okay, Melanin I think we’re ready to do some questions.
Question:
and:
Operator: Thank you very much. (Operator Instructions) And our first question comes from the line of Bill Greene. Please go ahead.
Bill Greene : I wanted to ask a little bit more in pricing, Judy you mentioned sort of I think you said 60% or so will have new pricing next year, how are customers responding to the GRI because these -- we’ve now gotten quite a few in less than 12 months back-to-back. So we’re starting to get to numbers that I wonder is this going to cause customers to start to say like well I’ve got to find different solutions here. How are they reacting?
 Morgan Stanley: I wanted to ask a little bit more in pricing, Judy you mentioned sort of I think you said 60% or so will have new pricing next year, how are customers responding to the GRI because these -- we’ve now gotten quite a few in less than 12 months back-to-back. So we’re starting to get to numbers that I wonder is this going to cause customers to start to say like well I’ve got to find different solutions here. How are they reacting?
Judy McReynolds: We really just implemented the latest GRI today. So we don’t really have any new news on that other than just the fact that it’s been announced and it’s being implemented. If you go back to the March GRI, we’ve seen good results there consistent with our historical results of retention in that area.
Bill Greene : Given the pricing dynamics the new labor contract, the network realignment all the stuff, do you feel like ArcBest has a good chance in the LTL division of getting back to the historical peaks you have seen in margins or do you have more work you think you need to do?
 Morgan Stanley: Given the pricing dynamics the new labor contract, the network realignment all the stuff, do you feel like ArcBest has a good chance in the LTL division of getting back to the historical peaks you have seen in margins or do you have more work you think you need to do?
Judy McReynolds: Well, I think the answer is yes to both. I think we do have the potential to get back, closer to historical margins but we do have a lot more work to do as evidenced by our commentary on the productivity issues that we continue to face as a company.
Operator: And our next question comes from the line of Brad Delco. Please go ahead.
Brad Delco : Michael just wanted to touch on the commentary around normal sequential trends from third quarter to fourth quarter. You said typically we’re up about 390 basis points. I mean there has been a lot of changes in the business with the network re-org, with the contract and then now with the GRI. I mean is that essentially kind of what you’re guiding to or should we be thinking about the trends could be a little bit different this year because of some of these other items that are going on including as well the improvement in productivity with the dock workforce?
 Stephens: Michael just wanted to touch on the commentary around normal sequential trends from third quarter to fourth quarter. You said typically we’re up about 390 basis points. I mean there has been a lot of changes in the business with the network re-org, with the contract and then now with the GRI. I mean is that essentially kind of what you’re guiding to or should we be thinking about the trends could be a little bit different this year because of some of these other items that are going on including as well the improvement in productivity with the dock workforce?
Michael Newcity: Well, in terms of the first few things you mentioned in terms of the network and the contract, now those are actually in the third quarter and so that’s kind of an apples-to-apples comparison when you think about that sequential comparison. I think one thing I do note -- I can point you back to another period in 2010 where we actually had a fall GRI then that was in October 1, 2010 it was about 5.9% GRI. It might have actually touched a little bit more of the business then, the amount of business that our GRI touches has actually been decreasing over a period of time. And even with that GRI being in the full quarter they was still about 120 basis point increase in the OR and this GRI is going to be in the last two months of the quarter and actually it’s going to be, if you look at the kind of the monthly business levels and where to rank those actually in the quarter it’s going to be kind of in the weakest and then in the strongest month of the quarter, October is generally your middle month. So it’s still going to have an impact in terms of the business levels on the OR.
Judy McReynolds: And I think Brad when you -- one of the things that we are pursuing is improvements in the productivity area. And we are starting to see some good signs there but we still have a long way to go. And so we are in the situation where we are dealing with growth from existing accounts to a large extent that have, I mean really it's the greatest growth sequentially in the last 15 years. And so what's happening to us to some extent is we are trying two services business, these are accounts that have been good for us. They have expanded their use of ABF perhaps because their business is growing. We are giving good service to them, but we are having to it with more expensive and more cost structure, in other words we are having to use more rented equipment, cartage agents, that sort of thing to make sure that we are meeting the service requirements for that business and the rail disruption that we have experienced has also been a factor in that as well. So we are trying to improve those things, but we know it's important to give customer service to those customers that do business with us over longer periods of years. And so we have all of that going on as well. So we do expect improvements in those things but we don't know that that would be dramatic in the fourth quarter relative to the third quarter because we still have so much of that to work through.
Operator: And our next question comes from the line of Chris Wetherbee. Go ahead.
Chris Wetherbee : So a question about sort of the network capacity, Judy I think you mentioned that you're kind of approaching network capacity. And as you think about sort of the mix of the volume relative to the pricing, I know there is maybe some mix effects that are shielding the revenue per hundredweight but as we look out into the first quarter probably more importantly into 2015, how should we think about your approach to the market in the LTL division. Did you start to pullback a little bit on what seems like there is volume growth out there you could pull back a bit on that and focus a bit more on pricing I just want to kind of understand the commentary around the capacity of the network a little better?
 Bank of America Merrill Lynch: So a question about sort of the network capacity, Judy I think you mentioned that you're kind of approaching network capacity. And as you think about sort of the mix of the volume relative to the pricing, I know there is maybe some mix effects that are shielding the revenue per hundredweight but as we look out into the first quarter probably more importantly into 2015, how should we think about your approach to the market in the LTL division. Did you start to pullback a little bit on what seems like there is volume growth out there you could pull back a bit on that and focus a bit more on pricing I just want to kind of understand the commentary around the capacity of the network a little better?
Judy McReynolds: Well I think what we I just described as our situation is relevant here. A lot of the growth that we've seen is from existing accounts. So these are accounts that we've done business with historically that have added business to our network. And so it’s a balance of effectively serving those customers. We are doing a lot to try to address the ways that we are providing service to the customers, in other words we are reducing our use of cartage, we are returning some rented equipment and we don't anticipate those to see much better rail service but we are still going to be using probably a healthy level of purchase transportation which right now is expensive. So we've got to manage that to the best of our ability while improving the effectiveness of our newest dock workers. But also we've got to adequately get paid for that business. And so we are as I mentioned in my commentary, we've got the GRI, second GRI this year, that's going in place. We feel that that's going to address your comment to some extent, but also it's appropriate in the marketplace given the tightness of the industry capacity. And then also we have an opportunity because of our contract renewals in the fourth quarter to really touch another 25% of that business. Some times that all get's finalized by year-end, some of it floats over into early next year and then the remaining business we will be addressing as we move into early 2015. And so if this is a process, but the primary objective here is to make sure that we have customers that are good for us, that we are serving effectively through our cost structure and that we are getting paid what we should be paid by those customers for the options that we deliver to them, whether it be in our asset based network or whether it be one of the services that we have on the non-asset side.
Chris Wetherbee : I guess my follow-up would just be sort of thinking about some of the network adjustments you've been doing post getting the last labor agreement done, do you feel like there is more progress to be done there or just the state of the business and sort of the competitive dynamic mean that you kind of hold off on doing anything further from here, I guess I just want to get a rough sense how you think about terminals and infrastructure, where you stand on that now?
 Bank of America Merrill Lynch: I guess my follow-up would just be sort of thinking about some of the network adjustments you've been doing post getting the last labor agreement done, do you feel like there is more progress to be done there or just the state of the business and sort of the competitive dynamic mean that you kind of hold off on doing anything further from here, I guess I just want to get a rough sense how you think about terminals and infrastructure, where you stand on that now?
Judy McReynolds: Well it's a constant process. We are not really in a position to announce any changes at this point but that doesn't mean that those evaluations are not going on. They are constantly going on and what we are doing is we are trying to make sure that the ABF Freight network is most effective for the customers that we serve. And so there is more to come on that, but we are in a position right now where we are still in the evaluation process and so we don't have anything, any new news to announce as far as that network goes, other than to say that we’re constantly looking at it.
Operator: And our next question comes from the line of Todd Fowler, please go ahead.
Todd Fowler : I just wanted to follow-up I guess to start with the October trends and the time it sounds like it was pretty strong, up 11%, revenue per hundredweight was flat I guess. First if you could talk about what was going on in the revenue per hundredweight side? And can you also talk about how the network responded to that sort of tonnage growth here in October. Was there anything, wasn’t there -- you were able to hand on sort of increase that you saw during the month?
 KeyBanc Capital Markets: I just wanted to follow-up I guess to start with the October trends and the time it sounds like it was pretty strong, up 11%, revenue per hundredweight was flat I guess. First if you could talk about what was going on in the revenue per hundredweight side? And can you also talk about how the network responded to that sort of tonnage growth here in October. Was there anything, wasn’t there -- you were able to hand on sort of increase that you saw during the month?
Judy McReynolds: Well with respect to the revenue per hundredweight increase, that has been affected by the business mix if you will associated with our business. I mean so you can’t if you were to strip out that affect you would see an increase that was in this low single-digit range there. So the business mix change is an important factor when you look at October. As far as our ability to handle that level of business I mean we’re continuing to see both progress, but also issues with our productivity. I mean we can look at the people that we hired in the dock area in July for instance, and we can see a pretty dramatic improvement in their productivity levels. We can see that they’ve improved somewhere, between 35% to 40%, but if you look at some of the newer people that we hired say in September, you’re going to have those issue associated with them. One thing that we have observed is that our hiring has reduced overtime. So the last few months we’re seeing fewer and fewer new people which should allow those more experienced people to start to really affect those expense trends positively. But we have all of that going on in the month of October. So to say that we’ve effectively handled that business level the answer to that is, we would much rather see some greater improvement to really answer that question, yes.
Todd Fowler : And if I have got time for one more, I was going to ask on Panther and Judy you had some comments about the fourth quarter comp and I know that we’ve talked a little bit about the sustainability of that business. How do you think about Panther’s growth going into ’15? And also what happens with the operating margins? I mean you’re seeing good top-line growth and I now that you’ve got the purchase price amortization going through. But should at some point that be a low 90 or business or do we think about the profitability level?
 KeyBanc Capital Markets: And if I have got time for one more, I was going to ask on Panther and Judy you had some comments about the fourth quarter comp and I know that we’ve talked a little bit about the sustainability of that business. How do you think about Panther’s growth going into ’15? And also what happens with the operating margins? I mean you’re seeing good top-line growth and I now that you’ve got the purchase price amortization going through. But should at some point that be a low 90 or business or do we think about the profitability level?
Judy McReynolds: Well I think if you were to factor out the depreciation and amortization levels that they have there, you would see an improvement of in the margins today, I mean that’s why we have actually really report the EBITDA numbers. I think that gives you a clearer picture of what Panther’s business is. It really depends Todd on the business environment that we see in 2015. There are a lot of great things going on at Panther. But we in order to really improve dramatically for instance off of the 2014 numbers that were so dramatically improved, we’re going to have to see a really healthy business environment for them. I think that some of the drivers of their business, the auto sector and the government sector and manufacturing. Those are areas that we need to see some strength in to see the levels of improvement in 2015 that we saw in 2014. But as you know Todd from being there, I think Todd’s visited there fairly recently you can appreciate the level of engagement in that team and the new growth that they’ve experienced through new accounts. And so it’s an exciting story.
Michael Newcity: Todd just a reminder on that D&A on Panther on the purchase price accounting it’s about 2.2 million-2.3 million a quarter.
Operator: And our next question comes from the line of David Ross. Go ahead.
David Ross : I wanted to talk about the savings from the contract. A few quarters ago the talk was about 55 million to 65 million annual savings just from the new labor deal which was about 15 million a quarter. Where are you guys on that in terms of tracking as expected and is that supposed to ramp-up more in the future or what’s going on there?
 Stifel, Nicolaus: I wanted to talk about the savings from the contract. A few quarters ago the talk was about 55 million to 65 million annual savings just from the new labor deal which was about 15 million a quarter. Where are you guys on that in terms of tracking as expected and is that supposed to ramp-up more in the future or what’s going on there?
Judy McReynolds: Really we disclosed contract savings of 55 million to 65 million and the initial comment was that that would be realized over about a 24 month period from the original implementation. So by the end of 2015 we’re on-track to have that run rate if you will of contract savings. And so it’s as we thought it would be in terms of those dollars.
David Ross : Because in 3Q there is only a $7.5 million improvement in operating income, that’s half of what was expected just from the labor deal and there is better volumes and pricing on top of that. So I was just trying to get a sense for how much that improvement was from the labor deal versus growth in volume and pricing?
 Stifel, Nicolaus: Because in 3Q there is only a $7.5 million improvement in operating income, that’s half of what was expected just from the labor deal and there is better volumes and pricing on top of that. So I was just trying to get a sense for how much that improvement was from the labor deal versus growth in volume and pricing?
Judy McReynolds: Well the thing that you did mention which we’ve highlighted is our productivity issues in the market environment that we’re doing business in. Again when you look at the situation that we faced and I think others faced in our industry in the third quarter is that in order to continue to give good customer service because of some of the issues that we’ve seen in terms of rail being an available option for us. And just in addressing the growth over a short-term basis from existing accounts we’ve had to service that business with more expensive methods. And so we have that issue to work through. We’ve highlighted it. And we continue to see issues on the productivity side, but we are seeing improvement with the employees that have been with us for several months now.
David Ross : So would it be fair to say that the productivity issues might have been 300 basis point or more headwinds in the quarter?
 Stifel, Nicolaus: So would it be fair to say that the productivity issues might have been 300 basis point or more headwinds in the quarter?
Judy McReynolds: Well, we’re not going to give guidance on that, all the specifics on that. There is a lot of puts and takes in that figure. But it was definitely significant.
Operator: And our next question comes from the line of Andrew Gordon. Go ahead.
Andrew Gordon : Andrew Gordon on for Scott Group, Judy just one quick follow-up on the pricing front, regarding the mix change 3Q saw length of haul coming up and the release said that there were fewer truckload related shipments. So just could you give any more clarification on why October has seen the tonnage accelerate while but still have the negative pricing mix?
Wolfe Research: Andrew Gordon on for Scott Group, Judy just one quick follow-up on the pricing front, regarding the mix change 3Q saw length of haul coming up and the release said that there were fewer truckload related shipments. So just could you give any more clarification on why October has seen the tonnage accelerate while but still have the negative pricing mix?
Judy McReynolds: Well it’s not negative I think it’s basically flat. And again its growth with existing accounts and with business that has lower revenue per hundredweight that is a factor in that mix of things. And so if you were to take out the business mix issues you would see low single-digit pricing increases for October.
Andrew Gordon : One other pricing related question on the GRI, I think you said that the GRI from March has been sticking pretty well. And I am just curious with the additional GRI in 4Q we should be expecting accumulative increase of both of those GRIs sticking with customers?
Wolfe Research: One other pricing related question on the GRI, I think you said that the GRI from March has been sticking pretty well. And I am just curious with the additional GRI in 4Q we should be expecting accumulative increase of both of those GRIs sticking with customers?
Judy McReynolds: Well, one thing to remember that is always true is, it’s not something that I think any of us want in our industry but it happens. Once a GRI is put in place I mean it begins to deteriorate the very next month. And so historically in our industry at least for our Company specifically I guess is as we see a quarter point decline in those increases as you move through so it ends up being discounting that occurs once you put in a general rate increase and that’s been true in the history of our general rate increases as we have put them in place over the years. And I don’t think that we’re any different as a company than perhaps those that we compete with out there. And so when you say added to it, you have to recognize that there is always to say that the retention is good we’re comparing it back to the past history where this discounting that I mentioned is occurring. And so, if you think about it you can’t just add the two together and apply that because of that discounting that occurs kind of normally in the process.
Operator: And our next question comes from the line of Ken Hoexter. Please go ahead.
Ken Hoexter : Judy-Michael if we can kind of just jump into the kind of mix shifts there a little bit more, the declines on the truckload, increased on the LTL. Is that more profitable freight and can you maybe delve into that? And is that what’s causing the shipments to be up 10% versus your tonnage 6% and is that trends that we should see continue just because we haven’t seen that kind of switch between I guess shipments in tonnage in maybe five or six years?
 Bank of America Merrill Lynch: Judy-Michael if we can kind of just jump into the kind of mix shifts there a little bit more, the declines on the truckload, increased on the LTL. Is that more profitable freight and can you maybe delve into that? And is that what’s causing the shipments to be up 10% versus your tonnage 6% and is that trends that we should see continue just because we haven’t seen that kind of switch between I guess shipments in tonnage in maybe five or six years?
Judy McReynolds: Well, I think what we’re attempting to do and I think Michael discussed it in his prepared comments was we have increased the price on our truckload rated shipments that are more spot, so that we could better service LTL customers. And so that’s what you’re seeing there. So when we say is that normal, well it’s not abnormal in this kind of business environment but it is noteworthy.
Michael Newcity: And Ken some of that goes along with the fact that the resources you dedicate to those spot shipments where we’re leading with this growth that we’re seeing on the LTL side so, that’s part of why we did that and why we’ve been doing that.
Ken Hoexter : And is that because you are now getting these against smaller shipments is that more profitable? I just want to understand the mix that you were just using it to fill up your network before and now do you want to sign some of that off even with the increased prices? I just want to understand the differential and the focus.
 Bank of America Merrill Lynch: And is that because you are now getting these against smaller shipments is that more profitable? I just want to understand the mix that you were just using it to fill up your network before and now do you want to sign some of that off even with the increased prices? I just want to understand the differential and the focus.
Michael Newcity: Ken I think that when you think, I mean every especially in the spot market on that volume business that’s something you want to adjust as you’re moving throughout the year it’s more of an adjustment that you’re making to improve the overall profitability of the business. And so versus where you have an account that’s on a deferred and contract basis and that’s a renewal every year, the volume is something that we can kind of pull back and/or pull forward. And so, it’s always a decision about individual account profitability and then how that impacts the overall company. And that’s what drives those decisions.
Ken Hoexter : And then just one last question, it is just the negative productivity issues duty, is that subsiding is that what you were getting at with the decrease I just want to understand what you’re expecting on the fourth quarter because of your I guess similar sequential margin target expectation?
 Bank of America Merrill Lynch: And then just one last question, it is just the negative productivity issues duty, is that subsiding is that what you were getting at with the decrease I just want to understand what you’re expecting on the fourth quarter because of your I guess similar sequential margin target expectation?
Judy McReynolds: Well, we’re not expecting it to go away as an issue. We’ve seen some improvement and I think I’ve mentioned earlier if you look at for instance the employees that we hired between March and July, we’re seeing a 35% to 40% improvement in their productivity, but we continue to hire people through the summer and so we’ve got those people that are going to be improving along that same path but that they have issues as they come along. I mean remember that what we’re seeing is the greatest sequential growth that we’ve seen as a company in 15 years and so that’s what we’re doing as addressing that growth with this hiring, but you have to understand that as you bring people on, it takes a period of time in order to get them fully at the productivity levels of your more experienced people.
Operator: The next question comes from the line of Jason Seidl. Go ahead.
Jason Seidl : A quick question here, I guess it goes back a little bit to your productivity issues, I guess you’re expecting at least to update in 2015, but how should we expect the impact of flow through to P&L? Should we start to see that in salaries and wages and benefits? Should we start to see that trend down a little bit in some of you purchase transportation?
Cowen and Company: A quick question here, I guess it goes back a little bit to your productivity issues, I guess you’re expecting at least to update in 2015, but how should we expect the impact of flow through to P&L? Should we start to see that in salaries and wages and benefits? Should we start to see that trend down a little bit in some of you purchase transportation?
Judy McReynolds: Well you would see better improvement in the areas that rents and purchase transportation line that includes where we have had to use cartage and rented equipment in order to facilitate customer service during this period of really tight industry capacity. And we’ve also used that because we have these newer employees that we’re bringing on that are less productive, so when we start to see the productivity of those employees improve we’re going to see salaries, wages and benefits that line improve.
Jason Seidl : And Judy also when we’re looking at that from a rail usage perspective, I mean obviously we’ve had some issues on the rail service side and I am assuming you had to move some of that typical rail freight onto the road, should we also see that maybe improve in back of the year as expectations for rail service in ’15 are looking I guess a little bit brighter with crossed fingers?
Cowen and Company: And Judy also when we’re looking at that from a rail usage perspective, I mean obviously we’ve had some issues on the rail service side and I am assuming you had to move some of that typical rail freight onto the road, should we also see that maybe improve in back of the year as expectations for rail service in ’15 are looking I guess a little bit brighter with crossed fingers?
Judy McReynolds: So I think all that to say -- I would say yes to that as you framed it, we don’t know that. But I think your question maybe would we prefer to use rail service I mean in some of the areas where we’ve had to move things over the road and the answer to that is yes. And so as soon as we’re able to shift it back in particularly in some areas in the Northwest we would.
Jason Seidl : My quick follow-up here, Michael, you talked a little bit about the revenue per hundredweight being flat on a year-over-year basis here in October, but that’s just an October I am assuming you’re not expecting it to remain flat all things being equal to GRI coming in here first thing in November?
Cowen and Company: My quick follow-up here, Michael, you talked a little bit about the revenue per hundredweight being flat on a year-over-year basis here in October, but that’s just an October I am assuming you’re not expecting it to remain flat all things being equal to GRI coming in here first thing in November?
Michael Newcity: That’s a very good expectation especially considering the GRI and what Judy mentioned about touching 60% of the account base by the end of the year?
Operator: And our next question comes from the line of Matt Brooklier. Please go ahead.
Matthew Brooklier : I wanted to ask a question on rents and purchase transportation, I know there has been a couple but I am just trying to get a sense for how much of that increase in the quarter was related to you guys running the network a little bit differently how much of it was attributable to maybe some of the productivity issues that you had unlike they are getting better? And then how much was a direct result of rail service level issues and having to shift some of the freight off the rails and moving it more expensively via truck?
 Longbow Research: I wanted to ask a question on rents and purchase transportation, I know there has been a couple but I am just trying to get a sense for how much of that increase in the quarter was related to you guys running the network a little bit differently how much of it was attributable to maybe some of the productivity issues that you had unlike they are getting better? And then how much was a direct result of rail service level issues and having to shift some of the freight off the rails and moving it more expensively via truck?
Judy McReynolds: Well I’ll say this, we have used purchase transportation in accordance with what’s allowed for the contract, in the quarter we are pleased that we have partners there that are able to do that work with us because we feel like it’s helped us with customer service. But when you try to parse through all of the issues that you just mentioned, which you did a good job of summarizing what those issues are. It’d be very difficult to say on a go forward basis what we expect that to be because one of the reasons why we wanted that option with our union labor contract was so that we could shift things around during these kinds of times where you have capacity sources that are limited. And so I think a couple of data points I’ll give you; we’ve returned about 1,000 trailers that we’ve rented and that was about as of the end of October that return occurred. And that was occurring kind of as we went throughout the third quarter. Also our cartage shipments have declined by about 56% and so we’re making efforts to reduce those costs that could be more effectively served with the equipments that we already have and the people that we already have as they become more productive.
Matthew Brooklier : That’s actually very helpful that two data points. And then as we look from third to fourth quarter historically is your use of rail line haul? Is it about the same in the third quarter, do you guys use rail more or is it less?
 Longbow Research: That’s actually very helpful that two data points. And then as we look from third to fourth quarter historically is your use of rail line haul? Is it about the same in the third quarter, do you guys use rail more or is it less?
Judy McReynolds: Well if you looked at history, I mean we kind of -- we operate in a range that is generally speaking I want to say 13% to 17% or something like that and we’ve been on the low-end of that range. And we see more rail utilization, if you look back at past years in the third quarter in particular, so the normal relationship would be that you would see that decline. The difficulty that I have in answering that question is that we haven’t used as much rail service as we normally would. So my expectation might be that it might be more flat when you look third to fourth, but it would all be based on what’s happening as in terms of those options in the marketplace, because again we’re looking for the most cost effective way to service that customer business. But if there’s a chance that utilizing for a poor laying won’t do that. We’re going to shift that over, neither, do it ourselves or use a purchase transportation provider. But again our history would be the third quarter would be elevated to the fourth. But my expectation would be that would be more flat given the circumstance.
Operator: And our next question comes from the line of Jeff Coffman. Go ahead sir.
Jeff Coffman : David I got a question and a follow-up both on CapEx, so cut me off to that first one please. Judy I think I heard you right 90 million to 100 million in CapEx 2014?
 Raymond James: David I got a question and a follow-up both on CapEx, so cut me off to that first one please. Judy I think I heard you right 90 million to 100 million in CapEx 2014?
Judy McReynolds: That’s right.
Jeff Coffman : If I look at your cash flow statement though and I know it’s net of financings. You’re showing a number probably closer to 30 million year-to-date with the capitalized internal software. Can you help me equate your guidance to what I am seeing on your cash flow statement?
 Raymond James: If I look at your cash flow statement though and I know it’s net of financings. You’re showing a number probably closer to 30 million year-to-date with the capitalized internal software. Can you help me equate your guidance to what I am seeing on your cash flow statement?
Michael Newcity: It’s actually 62 million is the net and for the bottom of that cash flow statement, it shows that that finance is closer to 62 million-63 million and we’ve got some revenue equipment that’s still coming online that will come into the fourth quarter. We’ve taken receipt of about 390 tractors and we’re going to, bringing on another 55 for the end of the year and so that’s going to bump that closer to the $100 million mark of that year.
Jeff Coffman : And the follow-up is with this kind of growth you said some of the greatest sequential growth in 15 years and the other divisions growing the way they are. Are we thinking the 2015 CapEx could be higher to help fund this growth?
 Raymond James: And the follow-up is with this kind of growth you said some of the greatest sequential growth in 15 years and the other divisions growing the way they are. Are we thinking the 2015 CapEx could be higher to help fund this growth?
Michael Newcity: We’re actually looking at that right now and obviously we’ve seen some capacity constraint in the year and Judy has talked about the increase in purchase transportation and so forth. Part of that I think was missed in discussion a little bit a part of that is being able to be able to back online and we’ve seen an improvement in loadings in that area. But we’re wrapping that up and we’ll have a number for everyone in January.
Operator: And our next question comes from the line of Rob Salmon. Go ahead.
Rob Salmon : I think a lot of people have been trying to get to the outlook with regard to kind of Q4 with the Q&A that they’ve had. You obviously highlighted kind of a lot different puts and takes with the productivity and PT headwinds offset by some kind of yield improvements which should benefit stronger, as well as very strong sequential growth quarter-to-date. Could you give us a sense how we should be thinking about incremental margins relative to Q3 as we look out to Q4?
 Deutsche Bank: I think a lot of people have been trying to get to the outlook with regard to kind of Q4 with the Q&A that they’ve had. You obviously highlighted kind of a lot different puts and takes with the productivity and PT headwinds offset by some kind of yield improvements which should benefit stronger, as well as very strong sequential growth quarter-to-date. Could you give us a sense how we should be thinking about incremental margins relative to Q3 as we look out to Q4?
Judy McReynolds: Well I think Michael gave the typical OR relationship between the two quarters. I think that’s probably something that would give you a benchmark for where you start. I think that’s the best indication that we have. We have a lot of different things moving around here, I’ll acknowledge that. But this history that Michael is giving you is a blended history based on a lot of things happening in those years. And so it’s a typical situation for us to have a deterioration in the operating ratio, in the fourth quarter relative to the third, but that’s a factor as well as the other factors that we’ve laid out on this call that we’re dealing with in terms of the GRI. The productivity of our employees and again used a purchase transportation that sort of thing. It sounds like you need an expert at modeling to do that and Rob you just may be the guy.
Rob Salmon : As you look out to 2015 can you give us a better sense if these productivity issues which have been headwinds and kind of constrained the incremental margin in Q3. If those are going to continue or any sort of incremental color you can have related to the hires? It sounded like the recent hires have been kind of coming on nicely, should they start to abate as we look out to ’15 or should we kind of think about the current run rate as a pretty good run rate looking forward?
 Deutsche Bank: As you look out to 2015 can you give us a better sense if these productivity issues which have been headwinds and kind of constrained the incremental margin in Q3. If those are going to continue or any sort of incremental color you can have related to the hires? It sounded like the recent hires have been kind of coming on nicely, should they start to abate as we look out to ’15 or should we kind of think about the current run rate as a pretty good run rate looking forward?
Michael Newcity: Rob Judy mentioned the improvement in productivity for the hires that we had in March to July, it was in the 35% to 40% range and we've also, we've seen that pace of that hiring come down. I will give you a couple of -- I will give you one data point on that. When you look at our September hirings are down from August around 30% to 35% and I could say the same for October hirings are down from September around 30% to 35%, so those hirings are coming down, we do have labor -- these new hires are improving in productivity. I think the guidance that we gave back in the second quarter is it can take about 12 months, it gets them up to full productivity and so that's kind of the backdrop there in terms of how that's playing out.
David Humphrey: Rob we've got one more question in queue and we will try to get them and I appreciate you.
Operator: And our last question comes from the line of Willard Milby. Go ahead sir.
Willard Milby : A real quick question, I think Matt asked the question I was trying to get on but at the last few quarters you have given the number of miles you have run outside carrier PT. I was hoping can you give that again?
BB&T Capital Markets: A real quick question, I think Matt asked the question I was trying to get on but at the last few quarters you have given the number of miles you have run outside carrier PT. I was hoping can you give that again?
Judy McReynolds: Well it's 5.8% of our total miles.
Willard Milby : Okay.
BB&T Capital Markets: Okay.
Judy McReynolds: And that compares to really zero last year in the third quarter.
Michael Newcity: Yes, and our rail this quarter was 14.7% Will.
Willard Milby : So that's down a good percentage year-over-year as well?
BB&T Capital Markets: So that's down a good percentage year-over-year as well?
Michael Newcity: Yes, that's quite a bit from down from last year. And that is just some of the things Judy was talking about moving some staff over.
Willard Milby : And last housekeeping thing, did you give the monthly tonnages throughout the quarter?
BB&T Capital Markets: And last housekeeping thing, did you give the monthly tonnages throughout the quarter?
Judy McReynolds: I think it was up 5% in July and then 7% and 7.4% something like that.
Michael Newcity: Yes, let me give you the exact numbers. 5.0% July, August was 7.1% and September was 7.0 and the whole quarter is 6.4.
David Humphrey: Well I think that concludes our call. We appreciate you joining ArcBest Corporation and we will see you next quarter. This ends the call.
Operator: And ladies and gentlemen, this does conclude the conference call for today. We thank you for your participation. Have a great rest of the day everyone.